Operator: Good day, ladies and gentlemen, and welcome to the Q1 2014 ADT Corp. Earnings Conference Call. My name is Ian. I'll be your operator for today. [Operator Instructions] As a reminder, the call is being recorded for replay purposes. Now I'd like to turn the call over to Mr. Tim Perrott, Vice President, Investor Relations. Please proceed, sir.
Timothy J. Perrott: Well, thank you, Ian, and good morning to everyone, and thank you for joining our call to discuss ADT's first quarter results for fiscal year 2014. With me on the call today are Naren Gursahaney, ADT's CEO; and Michael Geltzeiler, ADT's CFO. Let me begin by reminding everyone that the discussion today contains certain forward-looking statements about the company's future performance, which are subject to the risks and uncertainties and speak only as of today. Factors that could cause actual the results to differ from these forward-looking statements are set forth within our earnings press release today, which was furnished to the SEC in an 8-K report, and in our Form 10-Q for the quarter ended December 27, 2013, which we expect to file with the SEC later today. In our first quarter 2014 earnings release and slides, which are now posted on our website at adt.com and on our Investor Relations app, we have provided a reconciliation of the company's non-GAAP financial measures to GAAP. We urge you to review that information in conjunction with today's call. For those of you following on the webcast, we will be using this slide deck to supplement our commentary this morning. Please note that, unless otherwise mentioned, the references to our operating results exclude special items, and these metrics are non-GAAP measures. Now I'd like to turn the call over to Naren. Naren?
Naren K. Gursahaney: Thanks, Tim, and good morning, everyone. Thank you, all, for joining us. We have a lot to cover on our call today, including the progress that we made against our strategic initiatives during the quarter and other areas that we're still working on to improve future performance, along with a review of our financial results. Overall in the quarter, we make good progress on our priorities for the year, setting the stage for future growth. We drove year-over-year growth in recurring revenue and EBITDA and continued increases in our Pulse take rates across all channels, fueling improvements in new and average ARPU. However, our gross customer adds were below our expectations for the quarter. We will provide more details on our performance in a moment. However, first, I'd like to provide a few brief comments on the evolving landscape in our industry and recent activities that impacted our business results. It's a very dynamic time for our industry, and the opportunities for future growth are extremely compelling. As we previously discussed, only 19% of homes in the U.S. and Canada have a monitored security system, and the home automation industry is still in its infancy. Technology advances by a variety of companies are creating a path for smart devices that have more functionality and lower installed costs than traditional security solutions, allowing for more potential customers to realize the advantages of security and home automation. In fact, at the Consumer Electronics Show earlier this month, the smart home was one of the major themes of the show, and the number of companies in the smart home arena participating in the conference rose significantly. This opportunity has attracted several large companies to this space. And their presence is likely to significantly increase awareness for both new entrants and incumbents. This creates great opportunities for ADT to form strategic partnerships and expand our presence in the market. We're encouraged by all of this activity and believe we are at the beginning of an exciting new chapter for our industry. ADT is a clear leader in the life safety, security and automation market, and this positions us very well to capture the future growth opportunity. We estimate our addressable market will expand to $21 billion after our non-compete with Tyco expires later in the year. And this doesn't -- or this likely doesn't fully capture the upside in the home and business automation market. Of course, along with more opportunity comes more competition. More competitors across the spectrum have entered the market over the past few years to pursue this growing opportunity. We welcome this and believe that our strong brand, differentiated services, quality customer care and monitoring and product innovation will be the ingredients for our future success. Over the past few months, we've seen a significant increase in advertising by some of our new competitors as they spend to build brand awareness in this market. This put pressure on our lead-generation activities, impacting both our direct- and dealer-channel gross customer adds. In response, we've increased our advertising levels to maintain an appropriate share of voice, strengthened our offers to enhance our self-generated lead activities and redeployed some sales and installation resources to focus on upgrades, particularly those customers looking to upgrade to Pulse. These actions, while increasing our subscriber acquisition costs in the quarter, allowed us to partially mitigate the impact of lower lead flow in our direct channel. We're confident that these are the right steps to improve our competitiveness and our ability to win today and in the future. With that, I'd like to highlight the progress that we're making towards our 2014 priorities that we laid out during our Investor Day in December. These are listed on Slide #3 and are focused in 3 areas. Our first priority is investing to grow our 3 businesses organically, given the attractive returns that we enjoy. In addition, we are seeing some exciting M&A opportunities to complement our organic growth. The second priority is optimizing our cost structure in the areas of cost to serve and subscriber acquisition, and that's a big priority for us in 2014 and beyond that will drive margin improvements for the business. The third priority is optimizing our capital allocation, making sure we have the cash we need to invest to grow our business organically, as well as through M&A, and then redeploying excess capital back to our shareholders in the form of dividends and share repurchases. In addition to these 3 priorities, we need to execute on a couple of important onetime initiatives. During 2014, we will complete our separation from Tyco as we conclude the transition service agreements that exist between ADT and Tyco. In addition, we've begun upgrading customers currently using 2G radios. Slide 4 provides details on specific actions we've taken. Focusing on our first priority, an important driver of growth for us over the past few years is attributable to the success of Pulse. And we continue to see very encouraging improvements in our Pulse take rates for new system sales. On Slide 5, you can see that, in total, 36.5% of our gross adds during the quarter were Pulse units, up from 32% last quarter and 19% a year ago. In our direct Residential sales channel, our take rate was 42%, which was almost 4 percentage points higher than the prior quarter and up 12.5 percentage points over the same quarter last year. In our Small Business sales channel, the Pulse take rate was just under 36%, up almost 2 percentage points sequentially and 15.5 percentage points higher than the first quarter of last year. In our dealer channel, the Pulse take rate ramped up significantly in the first quarter to almost 29% from about 23% last quarter and 4.5% last year. Another positive this quarter was the improved mix of Pulse products sold. We sold more of the high-end home automation product as a percentage of the total, its highest since inception, highlighting not just the opportunities we have in selling Pulse but also the opportunity within our Pulse mix. Going back to Slide 4. In addition to new system sales of Pulse, we upgraded almost 17,000 existing customers this quarter. This is almost 2.5x the number we did in the same quarter last year. Our Pulse upgrade efforts allow us to provide additional functionality to our existing customers and yield higher ARPU. In addition, these upgrades allow us to enter into new contracts with these customers. These investments generate attractive returns and enhance the customer experience. We currently have over 615,000 Pulse customers, representing about 9.5% of our total customer base, showing that we still have a tremendous opportunity to further increase Pulse penetration. We're continuing to add new features and capabilities to our Pulse platform to make a great product even better and to ensure Pulse continues to be the best home security and automation solution in the industry. At the Consumer Electronics Show earlier this month, we unveiled the ADT Pulse Voice app, which offers the hands-free convenience of using voice commands to control nearly all areas of the home in the Pulse ecosystem, including lights, thermostats, door locks, small appliances and the security system. In addition, we will be adding garage door openers to the Pulse ecosystem over the next few months. We also announced the partnership with Ford. With Ford, we're working to integrate the ADT Pulse app with the Ford SYNC AppLink, enabling drivers of equipped Ford vehicles to control aspects of the home, such as turning on exterior lights or arming the security system from their vehicle using voice commands. We continue to be very excited about Pulse and what it means for our customers and the future of ADT. In addition, we began beta-testing our new mobile personal security app, ADT Canopy, which is available via the Apple App Store and Google Play. Canopy enables users to track the whereabouts of and communicate with friends and family members. The ADT Chaperone feature, which is a subscription fee-based service within Canopy, provides a direct line to trusted ADT monitoring centers anytime and anywhere so that our customers have protection and peace of mind in situations such as entering a dark parking garage or walking alone across campus at night. We will be offering Canopy integration to third-party hardware manufacturers, enabling security device makers to make use of Canopy and ADT's monitoring service in their own products. While it's still in the early days for this product, the launch of Canopy represents several important strategic shifts for ADT: the development of our own proprietary software; and the expansion from protecting a home or business to protecting an individual. We are continuing to strengthen our authorized dealer program. During the first quarter, we added several new dealers to our team, including reenlisting one dealer who had been a top 5 producer for ADT before leaving for a competitor. We also rolled out new -- a new funding initiative that better aligns our dealers' financial incentives with ours, increasing their focus on Pulse. These actions should help us return to growth in this important channel later in the year. To improve future attrition performance, we continue the rollout of our enhanced customer credit screening process, expanding from our initial pilot to a national program. We've also partnered with J.D. Power and Associates to roll out a new set of customer satisfaction metrics that will help us better identify opportunities to improve our service to new and existing customers. Turning to Small Business. We're building great momentum in this channel, with recurring revenue growth of 10%, which includes the integration of Devcon customers, versus 5% in the same quarter last year. We have increased our advertising investment in Small Business, including a dedicated TV ad, which aired for much of the quarter. In addition, we piloted a small business retail bundle in our Southeast region, formally launching the vertical strategy we outlined during our Investor Day. We are planning a national rollout for this retail bundle beginning in February. In the Health space, we launched a new wireless PERS solution at the end of December, and we'll be introducing a fall detection solution sometime next month. ADT and IDEAL LIFE continue to support the ADT Health platform with real-time health management services, providing customers, as well as caregivers and medical providers, the ability to monitor and track health and wellness. With the launch of these new products, we expect to gain additional traction in our Health business throughout the remainder of the year. Finally, we recently announced new partnerships with McAfee and State Farm Insurance. Our new relationship with McAfee will allow our customers to purchase a security plan that will help protect their home or business, as well as their digital devices and data. In joining forces with State Farm, we will be providing special offers for Pulse home security and automation to State Farm's nearly 20 million single-family and small-business customers who may qualify for additional insurance discounts. Pulse is the ideal solution to help State Farm customers connect to their families, homes and businesses to mitigate losses. Moving to Slide 6. While our gross customer adds were below our expectations in the first quarter, we made progress in certain areas that should help drive better growth in the future. Gross adds in our direct channel declined by 5% due to the lead-generation challenges and the rollout of our enhanced customer credit screening process, which I mentioned earlier. In response, we diverted some of our sales and installation resources to focus on Pulse upgrades for existing customers. When adjusting for this upgrade activity, our direct channel production was slightly better year-over-year. We are continuing to expand our lead-generation activities, including the rollout of new TV ads that will debut over the next couple weeks, and the engagement of new third-party lead generations -- generators who have demonstrated strong success in similar industries. Gross adds in our dealer channel declined by 16% compared to last year, primarily driven by the lower number of dealers as we discontinued activities with about 100 dealers who were not able to effectively make the shift to our higher-end automation solutions towards the end of 2013 and the same lead-generation challenges we faced in our direct channel. We are continuing our efforts to partner with our authorized dealers to strengthen their marketing and lead-generation capabilities, including giving them access to sales collaterals and marketing materials developed by and for ADT. As I mentioned earlier, we've begun to implement the initiatives we outlined during our Investor Day, including taking actions to align dealers' activities with our growth objectives. While our dealer channel initiatives will take time to have a positive effect, we expect they will contribute to better growth results later in the year. As we expected, net attrition increased in the quarter and was up 30 basis points sequentially and 80 basis points year-over-year to 14.2%. The majority of this year-over-year increase was attributable to higher relocation disconnects as a result of the continued recovery in the housing market, with little change in the loss to competition category. We are aggressively implementing all of the customer retention actions Alan Ferber discussed during our Investor Day, including tighter credit screening, our focused resale efforts and Pulse upgrades. As we discussed, our strategy for 2014 is to focus on the levers that we can control to stabilize attrition around our 2013 level of 13.9% towards the end of the year, when the actions we are taking are more fully reflected in our results. The continued success of Pulse helped fuel the ARPU growth for new and existing customers. In the quarter, new and resale ARPU was $44.91, an increase of 2.8% over the prior year. ARPU of our overall customer base, as of the end of the quarter, was $40.63, an increase of 3.1% year-over-year. Roughly 45% of the gain in average revenue per customer was due to the richer mix from new customer additions, including new Pulse sales. The remainder was from price escalations to existing customers. These gains were partially offset by the addition of the Devcon customers, many of whom pay a lower rate as part of the homeowners' association. Remember, these homeowner association accounts also have significantly lower attrition rates and, as a result, very attractive financial returns. Average ARPU growth was 3.7%, excluding the impact of the Devcon acquisition. The ARPU for new Pulse customers continues to be about $50 per month, providing a long-term tailwind for the company as our customers continue to adopt Pulse. Turning to the must-do priorities for the year, we're on track with our separation activities from Tyco. And we've begun the process of converting customers who currently use 2G radios. Now I'd like to turn the call over to Mike, who will summarize our financial results and discuss our priorities of optimizing the cost structure and balanced capital allocation.
Michael S. Geltzeiler: Thanks, Naren. As Naren mentioned, it was a challenging quarter financially, primarily due to lower customer addition, which resulted in EPS before special charges to be basically flat with the same period last year. In my 2 months with the business, I feel we are focusing on the right things to return the business to unit growth in both channels, stabilize attrition and streamline the installation, customer care and administrative activities to enhance profitability. In a recurring revenue model business, these actions take time to impact the financials. We remain optimistic that the fruits of these efforts will be more evident in the second half of fiscal 2014. This is why we have and continue to be a buyer of our own stock at these valuation levels. Turning to Slide 8 and our results for the quarter. Recurring revenue grew by 4.2% to $775 million and accounted for 92% of our total revenue. Recurring revenue was up 4.4%, excluding the impact of FX from a 7% decline in the Canadian dollar. Total revenue was $839 million, up 3.7% over the first quarter of last year, or 4% at constant exchange rates. EBITDA was $426 million, up 2.2% versus prior year. EBITDA margin was 50.8%, in line with Q4 2013 but a decrease of 70 basis points year-over-year. While gross SAC P&L expenses were essentially flat, cost-to-serve expenses rose 8% year-over-year, primarily due to the increased G&A costs, increased license and telecommunication fees associated with greater Pulse automation clients and the addition of Devcon. Growth in EBITDA was offset by higher depreciation and amortization expenses of $24 million, primarily from the increase in investments in Pulse and home automation. In addition, we added $1 billion of debt this quarter, which contributed to higher interest expense. This was partially offset by lower income tax expense of $16 million. EPS before special items was $0.43, down $0.01 to prior year. In Q1, our book tax rate was 36%, and our cash tax rate was only 3%. Earnings per share before special items using our cash tax rate came in at $0.66 for the quarter, representing a 6% decline over the prior year period. Looking at special items for the quarter. Consistent with our guidance, we incurred expenses related to the separation from Tyco and the costs associated with upgrading 2G radios, 2 of the must-do items on our priority list for 2014. These costs were $6 million and $3 million, respectively. We also incurred $6 million in merger and restructuring costs as we begin to accelerate our cost efficiency program. Special items totaled $15 million in the quarter versus a net 0 last year, as last year's results included a $6 million benefit from Tyco related to executive equity payments. Slide 9 details our SAC expenditure in the direct channel for the quarter versus the same period last year. Total company SAC for Q1 rose to $1,510 per subscriber, up 18% on Q1 of the prior year and 10% versus Q4. This consists of dealer SAC, which rose 5%, and direct SAC, which rose 25%. The SAC creation multiples in our direct sales channel also increased relative to last year. SAC was higher than normal on a per-customer basis, reflecting the increase in Pulse take rates, a more than doubling of customer upgrades, promotional activity and a relatively high level of overhead absorption attributed to the lower level of gross additions in this seasonably slow first quarter. Keep in mind that our SAC in the quarter includes the cost of upgrading 17,000 customers to our higher-end Pulse systems. While these costs to upgrade our customer base are included in our cash SAC costs, we do not add a new customer but do expect the customer lifetime value to increase, based on the new contract and the attractiveness of the latest technology. Although higher Pulse take rates and greater Pulse automation come with increased installation costs, Pulse customers also contributed on average 25% higher ARPU. And early indications are that Pulse automation clients have better retention characteristics than our traditional security customers. As a result, the economic returns from Pulse customers remain strong. Mitigating the more complex installation of Pulse are a series of initiatives we are launching to simultaneously simplify and reduce the cost of the installation process. These improvements involve both technology as well as process improvements. Additionally, we are optimizing lead regeneration across the different advertising vehicles and are partnering with our vendors on solutions for lower-cost products with better functionality. Although we expect Pulse take rates to continue to increase this year, we also expect SAC and creation multiples to decline to more normal levels over the course of the year, as dealer and direct production improve and the cost efficiency programs take effect. Slide 10 details our cost to serve for Q1 versus prior year. On a per-unit basis, cost to serve was up 7% to $13.42 per month versus prior year and rose 1% sequentially. The main drivers of the increase reside within customer service expense and G&A. Customer service expense included the royalty fee paid to our Pulse software provider, as well as the additional wireless fees for our Pulse customers, both of which will continue to trend higher as a percentage of our customer base with Pulse grows. G&A costs were up 13% year-over-year but only 1% versus Q4 2013. The higher year-over-year costs were primarily associated with the ramp-up of public company costs in 2013, some inefficiencies following the separation from Tyco and the acquisition of Devcon. The cost efficiency program for G&A and cost to serve is in full flight, led by our Six Sigma reengineering team and some outside resources. During the quarter, we restructured our account services center and are implementing a self-service initiative for our customers for certain activities like battery replacements, eliminating the need for truck rolls [ph] in that instance. Devcon synergies are on track and will be fully delivered over the course of the year. And after a several-year effort, we went live with our new billing and customer system in November, converting over 2 million of our customers to the new platform. We remain committed to the cost efficiency program outlined during Investor Day, which calls for a 10% overall reduction in cost to serve per subscriber by 2016, including $50 million reduction in G&A and a onetime reduction in net creation multiple by 2016. We expect the efficiency efforts to be more visible in the second half of fiscal 2014. Turning to Slide 11. Let me focus your attention on free cash flow and steady-state free cash flow. Cash flow from operations was $335 million, an 18% reduction from Q1 last year. Q1 2013 was a bit of an anomaly for operating cash flow, as working capital declined due to the timing of certain payments as a result of the separation of Tyco. In addition, we paid $15 million of incremental interest on our outstanding debt this quarter. Capital expenditures for the quarter were $279 million, with all but $12 million of that investment going towards new subscriber adds. This compares to $260 million of total CapEx in the first quarter of last year. Direct channel subscriber CapEx increased, reflecting higher Pulse penetration and greater volume of Pulse upgrades, whereas dealer channel CapEx declined due to the lower level of gross additions. In addition to the prior year issue mentioned earlier, net change in working capital was unfavorable to prior year as a result of the short-term increase in receivables in the current quarter attributed to the conversion of the new billing system and inventory growth associated with both the build-out of our distribution center and higher customer demand for automation. Factoring all of this, free cash flow before special items for the quarter was $68 million versus $160 million last year. As you may recall, we introduced a simplified calculation for steady-state free cash flow at our Investor Day last month, which more closely aligns with our 5 value drivers and is similar to how the rest of the industry calculate these measures. This metric is heavily skewed by current quarter EBITDA, SAC and creation multiple. With SAC costs up in the quarter on seasonably slow volume and higher attrition, the steady-state free cash flow dropped to $787 million in the quarter. As dramatic as the decline is versus a more robust Q4, this metric is equally sensitive to short-term improvements and customer add SAC and attrition. We continue to target full year steady-state free cash flow to grow 5% to 10% over last year's levels. This is predicated on target improvements in these 3 metrics. Slide 12 addresses our capital allocation and debt levels for the quarter. In terms of optimizing the capital structure, we issued $1 billion in debt during the quarter, increasing our leverage from 2x to 2.6x on a trailing EBITDA basis. Being that our leverage target is 3x, we have balance sheet flexibility as we continue to pursue a flexible balanced capital allocation plan, including investing in organic growth, making acquisitions and returning capital to shareholders in the form of dividends and share buybacks. In terms of dividend growth, we paid out $25 million of dividends during the quarter and increased the declared February dividend by 60%. We made substantial progress against the 3-year $3 billion share buyback program. During the quarter, we repurchased approximately 26 million shares for just under $1.2 billion, which included the initial share takedown for the ASR and Corvex buyback. Although the weighted average share count for the quarter was 198 million shares, we closed the quarter with an estimated 185 million shares outstanding after dilution, a reduction of more than 20% in the share count since inception of the program. To date, we've repurchased $2.4 billion in shares, which leaves $600 million remaining on the authorization. Turning to Slide 13, I want to provide you a little more color on our guidance for 2014. We believe recurring revenue, EBITDA and cash flow metrics, including steady-state free cash flow, are the key valuation metrics for our business, and we'll continue to provide financial guidance support in these items. We remain committed for both recurring revenue and total revenue to grow between 4% and 5% on a constant-currency basis. However, given the weakness of gross adds in the first quarter, we now believe that the recurring revenue and total revenue growth will be closer to the lower end of the range. Volume leverage and cost-reduction programs will help us continue to improve our EBITDA margins, which we still target to improve in fiscal 2014 by 50 basis points, with the improvement phase towards the second half of the year associated with our efficiency initiatives. And in terms of steady-state free cash flow, as I mentioned, we continue to target growth between 5% and 10% in 2014, as attrition and SAC stabilize and EBITDA grows. The EBITDA margin and steady-state free cash flow guidance exclude special items. These include onetime items related to our separation of Tyco, integration costs associated with the Devcon acquisition, the cost to realize efficiency and costs associated with upgrading some of our existing customer communication radios. In total, we continue to expect these special items to be between $50 million and $65 million for 2014, with about half of this associated with the 2G conversion program. Now I'd like to turn the call back to Naren.
Naren K. Gursahaney: Thanks, Mike. To wrap up our formal comments, overall, we're excited by the prospects of the business as we move through 2014 and confident in our future. ADT is the leading player in an industry that is evolving rapidly, creating more opportunities for future growth. We believe we've got the right formula to drive success and create shareholder value. While we recognize we have much more to accomplish, we're encouraged with the progress we are making on our initiatives as we work towards reaching our goals for the year. With that, we can move to the Q&A period. So I'd like to ask Ian to provide you the instructions on asking a question.
Operator: [Operator Instructions] And our first question comes from the line of Jason Bazinet.
Jason B. Bazinet - Citigroup Inc, Research Division: Just 2 for Mr. Gursahaney. When I look back at your advertising outlays, 5 years ago, it was about 3.5% of revenues. I think when you exited fiscal '13, it was almost 5% of revenues. Given the commentary that you made regarding the evolving landscape, do you have a number in mind in terms of where you think ad outlays could go as a percent of revenue? And then...
Naren K. Gursahaney: Well, let me answer the first one and come back to your second one. Yes, first was -- remember, 5 years ago, we did not have Broadview/Brink's in those numbers. That was ADT standalone. When we made the acquisition of Broadview/Brink's, we did increase our advertising to support lead generation for the sales force that came there. We had to increase a little bit beyond that because, at that time, we went from 2 national advertisers, Brink's and ADT, to only a single national advertiser. And in essence, we were carrying the voice of the entire industry at that stage. That said, I do expect we will continue to grow our advertising spend, but I would say, it should be in line to maybe a little bit above our revenue growth. We're looking in that 5% -- 5% to 7% growth per year. Again, that's based on the competitive environment we see right now. Depending on what happens and what changes we see, we don't feel like we've got to go toe to toe with the new advertiser because we've got a very strong brand with industry, 90% plus aided brand recognition. However, we do need to maintain a reasonable share of voice, so we don't get lost in the mix there.
Jason B. Bazinet - Citigroup Inc, Research Division: Okay. And then when I look at the churn numbers, typically, it seems like on a -- at least in terms of subscriber churn, I think it's true for revenue churn as well, fiscal Q1 is typically the trough, and then it sort of tends to escalate as you move through the year and then falls off again. How would you suggest the Street think about it in the context of...
Naren K. Gursahaney: Yes. Remember, our churn is a trailing 12-month churn number that we were packed [ph]. So that seasonality kind of comes off. I think what we're dealing with this quarter is that the first quarter of 2013 dropped off of our number, and the first quarter of 2014 gets added in. And when you look at the housing market, it really picked up towards the latter part of the year, so we did see, on a year-over-year comparison, the housing market and relocations is really driving the lion's share of that increase.
Operator: We have another question for you, and it comes from the line of Shlomo Rosenbaum.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Naren, it just seems that the challenges on the -- from the competitive channel are a lot more than what we have been talking about beforehand, both in terms of the lower gross adds. And the churn metrics really are just, on a unit basis, pretty high for what -- I'm just talking on an individual quarter basis, pretty high right now, both on a sequential and year-over-year. And it really seems like you're -- there's more to it on the competitive front than we were talking about. Can you talk a little bit more about that and what you're seeing and how much you have to step it up?
Naren K. Gursahaney: Sure, Shlomo. Yes, as I mentioned in my prepared comments, the big difference that we saw this quarter was a significant ramp-up in advertising spend by a couple of the new competitors in the space. And I would say, while we expected a ramp-up, we didn't expect to ramp up to that magnitude. And it's clearly understandable, they are working to build or establish their brand in this space. And in many cases, these are companies that have pretty sophisticated marketing or advertising muscle, and they can spread their advertising over a pretty large customer base. So from that perspective, I think it was a little more than we expected, and that did have an impact on our top of the funnel. I think our team did a very good job of converting the leads that we've gotten to sales. In fact, our conversion rates and our phone sales rates were very good, consistent with the past and in phone sales, even better than what we've done in the past. And we saw an increase in our self-generated leads. It just wasn't a big enough increase in self-generated leads to offset that. And that's an area we've got to continue to build our capabilities. As you know, Shlomo, we've made 2 acquisitions last year with Absolute Security and Devcon, both of which were very strong in self-generated leads, and now we've got to accelerate the sharing of best practices in that self-generated lead playbook across the rest of our organization. Those 2 organizations are 100% self-generated, and we've got to make sure that our core sales team gets an improved mix there. And as far as the attrition goes, again, very little of the year-over-year increase is attributable to loss to competition. I think the loss to competition number, in total, is about the same as a percentage of the total disconnects. And again, tied to the size of our installed base, the mix tends to shift from quarter-to-quarter as to who those players are because we have some who are very active during summer periods and will spike up during that time frame. Then during the off periods, they tend to drop down. But in aggregate, it's still in the area of 2% to 3% only of our total disconnects.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: And the subscriber system assets per direct subscriber added, from taking the cash flow statement number divided by the subscribers, is up over $100 a subscriber. And are -- in conjunction with the advertising, are you doing heavy discounting as well? Or is it really just you had 16,000 more Pulse and that really changes the whole mix? I mean, how should we think about that?
Naren K. Gursahaney: I think it's really 3 things. One is the Pulse mix definitely drives a higher subscriber acquisition cost per customer because there is more equipment, it's a longer install, we get a little bit more money upfront but, clearly, not enough to offset that. But over time, the higher ARPU will offset that. Two is included in our gross SAC numbers is the 17,000 upgrades we did. That's in the numerator, but there's not an incremental unit in the denominator. And then to drive the self-gen side, we did give our sales reps some more attractive offers that they could use with customers on the appointments that they generate on their own, whether it's through doorknocking, referrals or whatever other vehicles they have available to them.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Just if you don't mind, I would just want to leave one last -- I understand those 3 things can come together. But assuming that the competitive environment in terms of the advertising stays consistent with what we saw in the last quarter, and you have to step up that advertising and offering discounts, what does that do to the IRRs of the customers that you signed up with, say, in December -- in the December quarter vis-à-vis the IRRs that we have been talking about, which are kind of the mid-teens to low-20s kind of a year ago or when you guys had been spun out of Tyco?
Naren K. Gursahaney: Yes. I think the returns we saw in the quarter for those customers added were lower than what we've seen, again, primarily because the gross adds were down, so we're amortizing some of our fixed costs over a smaller base, but still well above our weighted average cost to capital, so still value-creating for us. But definitely, slightly below what we've seen in the past.
Michael S. Geltzeiler: And we have to factor in the lower attrition, coupled with the high -- 25% higher ARPU, which you're not yet seeing because we just got the customers in.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Right. And what makes you think that you're not -- they're not going to continue to step up the advertising costs and you're not going to have to keep moving up toe to toe, that's going to make this continue to go down that way? Or put a different way, what gives you the confidence that you're going to be able to, on the flip side, add subscribers and stop the kind of downward trend we're seeing?
Naren K. Gursahaney: Yes, I think it's a couple things, Shlomo. One is we're not relying fully on lead generation through our TV advertising and other vehicles. That's why the partnerships that I talked about with State Farm, we've got some other partnerships moving with retailers that we're looking at, we're being much more aggressive with the ADTpays program, which is a local referral program where we compensate partners for bringing leads that turn into sales for us. So it's just becoming a little bit more balanced. I think what we're seeing right now is many of these new players come in to the industry with a model that requires TV advertising because they're phone sales-based or Internet sales-based. One of the advantages that ADT has is we've got that direct sales force out there who can self-generate leads. We've also -- with a national footprint that nobody else has, we're also the partner of choice for a lot of companies like State Farm, and we're going to continue to build out those partnerships. So I think it's going to be the diversity of our sources of leads self-generated, as well as company-generated, that will allow us to continue to compete and continue to be successful.
Operator: We have another question. It's from the line of Jeff Kessler.
Jeffrey T. Kessler - Imperial Capital, LLC: Following up on the previous question, your first quarter, even though quarters generally tend to be a little stronger in the first half in general for the industry, your first quarters tend to be a little smaller, therefore, a little more volatile. And I'm just wondering if you are looking at a trend in the second, what you're seeing already for the second quarter and possibly the third quarter with regard to a couple of key metrics, one of them is, obviously, your cost to create multiple. How long do you think it will take before the programs you have in place, which are costing you now on a slightly smaller revenue base, are going to be able to generate more of these leads? And the second thing is, with regard to your gross adds, particularly from the direct channel, how long do you think it takes to -- for a greater balance of other parts of that direct channel to kick in for you to get that back to a positive number? Because I think a lot of people are looking at that fall off in gross adds.
Naren K. Gursahaney: Yes, Jeff. Well, first just the comment on the quarters. Our first quarter, I would expect, for the industry tends to low just because we've got fewer work days with the holidays, Thanksgiving and Christmas. There was a little bit of weather impact this year, but, to me, that's kind of noise. So it's normal for us to -- on a quarter sequential basis, to see that 4Q to 1Q drop-off. I think that's -- that is normal for the business. Q2 similarly has some holidays in there. And clearly, we've been faced across most of the country, with the exception probably of South Florida, where we are with some weather challenges. But again, that's -- those are things that are going to impact everyone. I would say what we've seen in the month of January is continued advertising spend by the companies who have ramped up. As I mentioned, we've got our new ads that will be rolling out starting -- actually, the first 30-second ads run starting today. And then we've got a whole series of them that we'll start ramping up, so I expect to see better performance starting February and as we move forward. As far as the timing for all these things to take effect, all of these have a ramp-up on them. I mean, whether it's the partnerships we've developed, whether it's expanding the best practices of self-generated leads, so I think you'll continue to see traction. But clearly, back half of the year will be better than the front half of the year.
Operator: And we have another question for you. This one's from the line of Ian Zaffino.
Ian A. Zaffino - Oppenheimer & Co. Inc., Research Division: When you talk about the competition, that's from the larger new entrants or are you still seeing -- is it from the smaller ones? And I guess, if you're talking about seeing that advertising would be the larger ones, is that correct?
Naren K. Gursahaney: Yes. The advertising share of voice challenge that we saw this quarter was definitely the large ones. With the smaller ones, they are more self-generating lead, so we don't see advertising pressure lead generation. We may see, I would say, our dealers would be more impact to that than our direct channel.
Michael S. Geltzeiler: Yes, just to clarify. I think what Naren is discussing is leads and the impact on the leads. In terms of the competition directly, the attrition has not been affected. The loss to competition is pretty stable, kind of in the 2% to low 3% range, so it's just in the leads and the sort of share of voice is the one area where we're seeing some impact. But it isn't so much in closing the sales or in the sales force feedback. It's more on getting them the leads and the appointments.
Ian A. Zaffino - Oppenheimer & Co. Inc., Research Division: Okay. And this might be a naive question, but I'm just trying to understand a little bit about how you add subs in that? Naren, you gave us kind of a lengthy discussion about all the technology you have, the garage doors openers, et cetera. And then now you talk about advertising and being maybe out-advertised. What exactly is it? Is it a matter of your technological offering, is it a matter of just your voice isn't being heard? Just kind of give us a little more color on...
Naren K. Gursahaney: Yes. I think, again, we've got multiple channels for generating sales. We run our TV ads. That tends to ring the phones. We've got an 800 number there that will go to our call center. Our call center will do what they can to try and close the sale over the phone. If they can't close the sale over the phone, they'll generate an appointment, and one of our field sales reps will go out and visit that customer. Similarly, through our Internet, often, our TV ads will bring people to our Internet site, they get the information. They'll either click to chat, fill out a web form or they'll find the 800 number on the Internet and make a call into our call center again. So the direct channel is primarily, I'd say, 80% to 90% lead generation. So it is our TV ads and our yard signs, our trucks that have the phone number, that broader awareness that kind of rings the phone or brings the traffic to our website. Now once they get there, then it is the quality of our offering, which they'll either learn about our website, through our call center or in the home with our sales reps that, I think, differentiates us. And that's where we continue to feel very good. Our close rates over the phone, our close rates in the home continue to be very strong. It's just that top-of-the-funnel challenge that we're facing right now.
Ian A. Zaffino - Oppenheimer & Co. Inc., Research Division: Okay. And then the final question would be, and I don't know if you have this, but can you break out the ARPU maybe between Pulse and non-Pulse customers or maybe how much it grew or...
Naren K. Gursahaney: Yes, what I would say, and we can follow up maybe off-line with a little bit more color to it, but again, the ARPU for our Pulse customers has held pretty consistent since we launched 3 years ago right around that $50 per month. So despite changes in the competitive environment, we've been able to manage that. And that's required a lot of pricing discipline on our side. We feel that, that piece is very important because once you lose that, you never get it back. It is a premium in the market, but we believe that our solution and our monitoring infrastructure and the services that we provide our customers justify a premium. And fortunately, our customers, for the most part, agree with that.
Ian A. Zaffino - Oppenheimer & Co. Inc., Research Division: And same thing with the non-Pulse ARPU that's been sort of holding flat?
Naren K. Gursahaney: Yes. Again, there's a pretty broad range there. But again, with the average being around 40, it could be in the high 30s generally for the traditional security. So again, it is about a 25% delta between the Pulse customers and the non-Pulse customers.
Operator: We have another question. This one's from the line of Charles Clarke.
Charles Clarke - Crédit Suisse AG, Research Division: Just having some trouble reconciling, and sorry to come back to gross adds again, but some things we've heard, competitors are advertising a lot more. That surprised you. You guys think that, that is positive for the industry, and almost I would think that it sounds like that should be positive for lead generation that they're creating interest for these types of services. So competitors have stepped up advertising, which should theoretically increase industry leads because more people will be interested in the product. And you guys are saying that the lead generation has actually been weak but the conversion of those leads has been stronger. So just curious as to, like, where the disconnect is. And it seems more logical to me that, like if they are increasing advertising, that creates more industry leads. But at the same time, I also think that -- they've mentioned your company in a lot of the advertising, and people probably like to make comparisons, especially in today's world. So if you guys -- do you think that you're not getting that comparison or do think that their advertising isn't creating more leads or are they just going directly to those competitors? Just any kind of reconciliation would be helpful.
Naren K. Gursahaney: I'll give you a couple comments, and they are more anecdotal than data-driven, so take them as such. I would say, part of it is just the short term versus the long term. The whole automation -- home automation space is truly in its infancy stage, and, honestly, the awareness broadly is not there yet. So I think as people continue to see ads, whether it's our competitor ads or our ads, that awareness will grow, and the acceptance of the products will grow. I mean, we have not seen yet a meaningful change in that 19% penetration rates, but I think we all in the industry, whether it's the incumbents or the new players, believe that this greater awareness will drive that penetration rate up. So I think there is a piece of it that's just short term versus long term. Secondly is ADT is still establishing itself as a home automation company. People know us very well as a security company. And even though we've been in the market for 3 years with Pulse, I still think people see their ads, our competitors' ads, and they say, "Yes, they've got that." And honestly, unless we're advertising Pulse enough, people may still think of us as a traditional security company and not be aware of the capabilities that we have. And I'll give you my own anecdotal -- at dinner parties and things, I'm always showing off Pulse, and I regularly get, "Wow, I didn't know ADT did that." So we've got a lot of work to do as an industry and as a company to continue to grow that awareness of the capabilities and of ADT's capabilities in that space.
Charles Clarke - Crédit Suisse AG, Research Division: And then just as a follow-up. So obviously, a balance, so here you have goals, you've seen some increased advertising from competitors, you want to get your gross adds up, but, at the same time, you do want to keep SAC stable. So I guess, if you want to keep SAC stable, you don't have the advantage of kind of cutting price on installation because -- so cutting price would obviously help gross adds but hurt SAC. So I guess, what gives you the confidence? Is it just execution? Is it kind of a show-me story here? Or what gives you confidence that the kind of the guidance you laid out -- obviously, the revenue growth is a function of mix and gross adds, so -- and kind of coupled with your other goals, what gives you the confidence that you can kind of make all those things work?
Naren K. Gursahaney: Yes, I mean, Charlie, those are the trade-offs that we have to make every day. We've talked about kind of the 5 value drivers. In the ideal world, I'd love to see all 5 moving in the right direction. The reality is we do have to make those trade-offs every day. With our enhanced credit screening, we are putting pressure on gross adds, with betting on the come that attrition will be better because we'll have a better-quality customer. With some of the increased advertising and the better promotions that we're offering, we're taking a little bit of a hit on our SAC in order to drive up the gross adds. So we're always making those trade-offs. And again, what I'll go back to as I look at it and say, are we generating a higher return than the cost that we're generating, our weighted average cost of capital. And as long as we feel confident we're creating value for our shareholders, we're going to make those investments and we're going to make those trade-offs.
Charles Clarke - Crédit Suisse AG, Research Division: Sure. And then sorry to steal [ph] in for one more. But just an update on the M&A front, if you could. If you had kind of more internal discussions, have you guys have been ramping up kind of lead generation with respect to kind of respective companies or just any kind of update on the pipeline and direction of the pipeline would be great.
Naren K. Gursahaney: Yes. I can't say anything specific on any kind of target there, but I'll reinforce what we said during our Investor Day. When we launched as a public company 15, 16 months ago, we really had no pipeline. We just weren't an active player in the M&A space. Over that time period, we've continued to build relationships and build our pipeline, and I feel pretty good about the opportunities that we see ahead of us. We want to be very strategic. We don't have an unlimited checkbook, so we want to make sure that we're buying good-quality assets at a good price and those things that really enhance our long-term value. But I do think we've got some pretty exciting opportunities in the pipeline.
Operator: We have another question for you. This one's from Jim Krapfel.
James Krapfel - Morningstar Inc., Research Division: As some of the bigger competitors increase their advertising and promote pricing that is somewhat lower than yours, do you think potential customers are becoming more price aware and are therefore opting for the cheaply -- or for the cheaper monthly rate? And maybe that's also contributing to the customer add slowdown.
Naren K. Gursahaney: I would say that, that is a possibility, Jim. But I go back to the prices we're realizing, Pulse has maintained a pretty consistent price. Our ARPU has continued to grow, both new and average ARPU for us. So I do think there is greater awareness. I think there is greater level of shopping going on. We've had to become much more disciplined in what we put on our website and make sure that our website reflects our actual offers in the marketplace. And we've also been very disciplined when our competitors are misrepresenting our prices. So we'll continue to do that. But again, when I look at the quality of the solution, the technology that we put in, the service around that, including the monitoring, as well as customer care side of it, I believe, against all of our competitors, we can justify a premium. And as long as we continue to invest and differentiate ourselves in those areas, I think we'll be able to continue to command that.
Michael S. Geltzeiler: Yes, I would follow up on that. I think one of the things we see, we not only monitor leads but also appointments and close rates. So the close rates are extremely high, and we've seen no degradation in that. So I think once our people have -- are aware that the customer is interested, they can have the dialogue. The sales force is -- feels very confident and continue to be as confident as they ever were about being able to sell the value of ADT and closing that deal. The issue is, to some degree, there are people -- we're getting less of those appointments, less of those leads. But I think when we do go up against others, our sales force feels very comfortable about our value proposition, and pricing and promotion are not an issue.
James Krapfel - Morningstar Inc., Research Division: Okay. And what gives you the confidence that attrition will improve throughout the year, especially as customer locations continue to increase with the improving housing market?
Naren K. Gursahaney: Yes, I think, again, the customer relocations, we saw a significant ramp-up with the rebound of the housing market. We're now getting to the point where we're, by the end of the second quarter, we will lap some of that. So again, unless there's another big pickup in the housing market, I think relocations, hopefully, will have stabilized. And then it's more of the impact of the initiatives that we're driving in the controllable areas, particularly around non-pays, net enhanced credit screening around [indiscernible] driving Pulse and then driving our resale activities, kind of the key programs we talked about in our December Investor Day. I feel good about the progress we're making there. But particularly, the credit screening, that's something that shows up 6 months down the road.
Operator: We have another question for you. This one's from Jiayan Zhou.
Jiayan Zhou - Morgan Stanley, Research Division: So just first one, post upgrade, can you give us some sense what kind of SAC is related to post upgrades?
Naren K. Gursahaney: I'm sorry, I didn't get the full question.
Jiayan Zhou - Morgan Stanley, Research Division: Just costs associated with post upgrade, like what kind of cost will be per upgrade?
Michael S. Geltzeiler: Yes, it's a little more than -- a little just slightly more than half of our traditional SAC when we're -- on average, when we're upgrading a Pulse customer who already -- upgrading a home security customer to a Pulse.
Naren K. Gursahaney: So nominally, in that $700 to $800 range. And just so you're aware of kind of what's in that, there is some advertising cost because we do spread our advertising. We talk about upgrades now in our advertising. But the biggest piece of it will be the equipment costs. We have to put the hub in there that allows you to connect with those automation devices. And then you have, whether it's cameras, thermostats, lights and the installation associated with those.
Jiayan Zhou - Morgan Stanley, Research Division: Okay, great. And also just going back to ARPU, so you mentioned that 45% of average ARPU growth was attributed to return megs [ph], so it gives us about like 1.5% price escalations. Do you expect similar level of price escalations throughout the year?
Naren K. Gursahaney: Again, I think we've been pretty good with managing our price escalation. We feel like we still have some opportunities there, so I would say I don't see a change in our policy around escalations at this time, but we'll continue to monitor the response to our upgrade or to...
Michael S. Geltzeiler: The escalations are more tied to the customer and where the customer is in their contract life. It isn't like on one day we send out escalations to all customers. So as customers have joined us over the years, different months in the year, the escalations are phased throughout the year based on their start date and based on where they are in there [indiscernible]
Naren K. Gursahaney: Great. Ian, I think we've gone beyond our allotted time for an hour. So if there's any other follow-up, please feel free to give us a call, and thank you for joining the call today.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does concludes the call. You may now disconnect. Once again, thank you for joining us.